Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Flagstar Financial, Inc.'s First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star, then the number one on your telephone keypad. If you'd like to withdraw your question, press star one again. I would now like to turn the conference over to Sal DiMartino, Director of Investor Relations. Go ahead.
Sal DiMartino: Thank you, Regina, and good morning, everyone. Welcome to Flagstar Financial, Inc.'s first quarter 2025 earnings call. This morning, our Chairman, President and CEO, Joseph Otting, along with the company's Senior Executive Vice President and Chief Financial Officer, Lee Smith, will discuss our first quarter results and outlook. During this call, we will be referring to our earnings presentation which provides additional detail on our quarterly results and operating performance. Both the earnings presentation and the press release can be found on the Investor Relations section of our company website at ir.flagstar.com. Also, before we begin, I'd like to remind everyone that certain comments made today by the management team of Flagstar Financial, Inc. may include forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements we may make are subject to the Safe Harbor rules. Please review the forward-looking disclaimer and Safe Harbor language in today's press release and presentation for more information about risks and uncertainties which may affect us. Also, when discussing our results, which excludes certain items from reported results, please refer to today's earnings release for reconciliations of these non-GAAP measures. And with that, now I would like to turn the call over to Mr. Otting. Joseph?
Joseph Otting: Thank you, Sal, and good morning, everyone, and welcome to our first quarter earnings call. We are very pleased with this quarter's operating performance and financial results as we continue to make significant progress on our journey to profitability, executing on our strategic plan, and transforming the company to a strong performing regional bank. We executed on critical cost takeouts, credit management, C&I growth, and risk governance during the quarter. Our first quarter adjusted net loss available to common shareholders was $0.23 per diluted share compared to a consensus of $0.27 per diluted share. This was also $0.17 better than what we reported in the fourth quarter. In addition to our improved financial results, I'm also excited with the progress that we are making in building out our commercial lending business. We continue to add talented bankers. These new hires now are generating strong origination volumes, which I will detail for you shortly. During the quarter, we announced the hiring of Mark Fitzgibbon to lead our private bank and wealth management business. Mark's extensive expertise at various large regional and international banks will help us drive our continued growth in these two core businesses, and we're really excited because Mark is going to be a great leader. He's already brought focus to those businesses, and we look to add additional talent as we move forward. In addition, we rounded out some key product offerings in the C&I, including an interest-only jumbo ARM mortgage with a low loan-to-value aimed at our high-net-worth clients and a subscription loan product. We feel now that we have the appropriate product set in place to grow market share in the high-net-worth space. Turning to slide three of our presentation, in 2024, we successfully built capital, improved liquidity, and enhanced the credit quality of our commercial real estate and multifamily portfolios. In 2025, our focus is on the following four areas: improving our earnings profile through margin expansion as our cost of funds decreases, moderating credit cost and cost reductions, Lee will discuss these and outline these later on a couple of slides, and we'll continue to execute on our C&I and private bank growth initiatives. We will proactively manage the CRE portfolio, including reducing our CRE concentration, which you'll also see in a couple of slides. I will note that both net charge-offs and the loan loss provision in the first quarter each declined by almost 50% on a quarter-over-quarter basis. I'd like to spend the next few slides discussing the build-out and increasing momentum in our C&I business, which we've consistently communicated as one of our key targets is to diversify the balance sheet away from being a CRA-driven balance sheet to one where we focus on consumer, C&I, and commercial real estate going forward. We've continued to add talent in the C&I business. We hired another 15 bankers during the first quarter and intend to hire another 80 to 90 during the remainder of the year. These additional hires already factored into our forecast will not impact our cost savings initiatives. Early returns from the bankers we hired in 2024 are impressive, especially in our two main focus areas, which are corporate and regional commercial banking and our specialized industry verticals. Overall, we had over $1 billion of C&I loan commitments in the quarter with $769 million in originations, up over 40% versus the fourth quarter. Our C&I pipeline currently stands at $870 million, up over two times compared to the fourth quarter. Our expansion strategy in this is twofold. Our corporate and regional commercial banking business is focused on relationship lending in and around our branch footprint to ensure we can maximize our middle market corporate banking lending opportunities in our backyard, specifically where we have Flagstar brand recognition. The second is our specialized industry business is a national model and focuses on several industry verticals, including things like sports and entertainment, energy and energy renewables, franchise finance, health care, and lender finance. Slide five depicts the momentum we have in these two areas the last several quarters. And if you recall, we really, with Rich Rufeto's hiring in June of 2024, began to organize ourselves and began to recruit talent into that space. As you can see on slide five, importantly, in our two areas of forecast, originations increased over 70% to $449 million on a linked quarter basis, while commitments rose 40% to $656 million. We're really excited about that, and it really shows as we've talked to people about growing out our C&I opportunities in the marketplace that those are really starting to come through as we forecast. On slide six, in addition to the sale of the mortgage warehouse business, we opted to strategically reduce our exposure to several non-core, non-relationship-based C&I borrowers. As a result, over the past several quarters, the runoff in these portfolios has masked the progress we are making in growing our new focus areas. As you can see in the upper left of this slide on page six, while overall C&I loans declined again this quarter, corporate regional, commercial banking, and the specialized industry loans increased to $147 million, up 4.4% compared to the fourth quarter. Runoff has now abated in these C&I portfolios, and combined with continued momentum in our focus area, we feel comfortable that the overall C&I portfolio will begin to net grow in the second quarter. With that, I will turn it over to Lee and allow Lee to kind of walk you through some of our financial data.
Lee Smith: Thank you, Joseph, and good morning, everyone. We're very pleased with the continued progress of that turnaround strategy, to transform Flagstar Financial, Inc. into a top-performing, well-diversified, relationship-driven regional bank. From a fundamental point of view, our CET1 capital ratio remains right around 12%, one of the strongest in the industry for regional banks. We further improved our liquidity profile as we continue to reduce brokered deposits and FHLB advances, and the results of that cost optimization efforts are on full display as our noninterest expenses, excluding one-time charges, merger expenses, and intangible amortization, declined $71 million quarter over quarter, putting us on track to achieve our full 2025 forecasted run rate. We continue to see significant par payout in our commercial real estate portfolio, and we closed on the two non-accrual loan sales that had been moved to available for sale during the fourth quarter, with a combined book value of $290 million, resulting in a small gain of $9 million on these loan sales. We will continue to explore all options as it relates to reducing our multifamily and commercial real estate portfolios and nonperforming loans, and we'll execute on what is in the best economic interest of the bank. Joseph already touched on the momentum in the C&I business, but let me add that our goal is to originate $1 billion of C&I loans per quarter, and believe the first quarter trends prove we're on track to do this. Moreover, this growth is at market spreads, which together with the expected multifamily resets and maturities will drive margin expansion over the next three years. We paid off approximately $1.9 billion of broker deposits during the quarter, with a weighted average cost of 5%, and $250 million of FHLB advances with a weighted average cost of approximately 4.5%. The last $1.4 billion of our high-cost savings promos with a weighted average cost of 5.2% matured during the first quarter, and we had $5 billion of retail CD maturities at a weighted average cost of almost 5%. Overall, our weighted average cost of basis points in Q1 versus Q4. Looking ahead, a further $4.9 billion of retail CDs will mature in the second quarter with a weighted average cost of 4.80%. We continue to actively manage our deposit costs and will further deleverage the balance sheet in 2025 by paying down more broker deposits and FHLB advances. Over the next three quarters, we expect to reduce our broker deposits by an additional $3 billion and our FHLB advances by another $1 billion. On the asset quality front, our criticized assets declined quarter over quarter, while our allowance for credit losses and reserve coverage remained stable due to lower held pre-investment loan balances and better appraisal values. The increase in 30 to 89-day delinquencies were driven by one borrower who pays subsequent to month's end and has done so again, meaning that $414 million of delinquent loans as of March 31st are current as of April 23rd. We also moved one significant borrower to non-accrual status during the quarter. Their portfolio is approximately $563 million and 90 properties. We are pursuing all legal and contractual remedies against this borrower. Turning to slide seven. As you read in our earnings release, our first quarter loss narrowed significantly compared to the previous quarter. And as Joseph mentioned, it was ahead of consensus estimates. On a GAAP basis, we reported a net loss available to common stockholders of $0.26 per diluted share. And on an adjusted basis, we reported a net loss available to common stockholders of $0.23 per diluted share, versus $0.40 in the fourth quarter after adjusting for the following items in Q1. We had $5 million in trailing costs from the sale of the mortgage servicing and third-party origination business, $6 million in accelerated lease costs related to branch closures, and $8 million of merger-related expenses. Moreover, our adjusted pre-provision pretax net revenue for the quarter was negative $23 million, also much improved compared to the previous quarter. As we aim to return the bank to profitability by the fourth quarter of 2025. On slide eight, you can see the tremendous strides we have made in strengthening our balance sheet over the past five quarters. We have increased capital by nearly 300 basis points, improved our reserve coverage by almost 60 basis points, significantly enhanced our liquidity position, and we enhanced our funding profile by reducing our reliance on higher-cost wholesale borrowings. This last item also helps us reduce our FDIC expenses. We now have a more balanced sheet that will better support our diversification strategy as we move forward. Slide nine provides our updated three-year forecast through 2027. We slightly lowered our 2025 net interest income forecast and increased our forecast for fee income. These largely offset, resulting in no change to our 2025 earnings per share. Fiscal years 2026 and 2027 remain unchanged. Slide ten shows our NIM trends. And as you can see, the margin has stabilized over the past two quarters. The NIM is expected to increase as we move forward based on a lower cost of funds as we continue to deleverage the balance sheet and manage our cost of deposits lower, using excess cash to purchase investment securities, low coupon multifamily loans resetting higher or paying off at par, growth in higher-yielding C&I loans, and a reduction in non-accrual loan balances. I touched on our cost optimization efforts a moment ago. And on slide eleven, you can see the significant progress we've made in reducing our expense base. Our cost reduction efforts are focused on the following five areas: compensation and benefits, real estate optimization, vendor costs, outsourcing/offshoring nonstrategic back-office functions and processes, and FDIC expenses. We've reduced noninterest expenses $71 million quarter over quarter on an adjusted basis, and are on track to reduce expenses by over $600 million year over year and achieve our noninterest expense forecast for 2025. It is important to note that our cost savings goal is net of growth in other areas, including our C&I businesses, and investment in our risk compliance, and technology infrastructure. Turning now to slide twelve, which shows the growth and strength of our capital position. At just under 12%, our CET1 capital ratio is top quartile among peer group. Our priority is to redeploy this capital into growing our C&I business as we diversify our balance sheet. The next slide is our deposit overview. Our deposits decreased approximately $2 billion driven by the payoff of $1.9 billion in broker deposits, consistent with management strategy to reduce our reliance on wholesale funding. Moving to slide fourteen, the first quarter was another strong quarter for par payoffs in the CRE portfolio, which totaled $840 million. $673 million or 80% of these in the multifamily portfolio. And importantly, 59% of the payoffs were loans rated substandard. These payoffs are driving a significant reduction in our CRE balances, and in the CRE concentration ratio. Since year-end 2023, CRE balance are down $5.7 billion or 12% to $42 billion, while the CRE concentration ratio is down 62 percentage points to 439% compared to 501% at year-end 2023. Slide fifteen provides an overview of the multifamily portfolio. This portfolio has declined $3.3 billion or 9%. In addition to the payoffs, this portfolio has been reduced through loan sales and charge-offs. We maintain a strong reserve coverage on this portfolio of 1.82%, the highest relative to other multifamily-focused banks in the northeast. Furthermore, the reserve coverage on multifamily loans, where more than 50 of the units are rent regulated is 2.82%. Earlier, I stated that one driver to our margin expansion is the resetting of our multifamily loans. We have about $18 billion of multifamily loans either resetting or maturing through the remainder of 2025 and end of 2027, with a weighted average coupon of less than 3.8%. If these loans pay off, we will reinvest the proceeds and capital into C&I growth or pay down wholesale borrowings. If they reset, the contractual reset is at least 7.5% which gives us an immediate NIM benefit. Going back to January 1, 2024, approximately $3.4 billion of multifamily loans have reset. Over 90% of these loans have either paid off at par or reset and are current, excluding the one borrower we moved to nonaccrual. Slide sixteen provides an overview of the office portfolio. We have reduced our office exposure by approximately $800 million or 25% over the past five quarters, and we will continue to actively manage this portfolio lower throughout the course of the year. Our office allowance coverage at March 31st stood at 6.68%, remains among the highest compared to our regional bank peers. The next slide details our allowance for credit losses by loan category. Of note, our total ACL coverage including unfunded commitments of 1.82% was relatively unchanged compared to the previous quarter, due to lower loan balances, charge-offs, and the receipt of additional appraisals. On Slide eighteen, we provide additional details around our credit quality trends. Criticized loans declined almost $900 million or 6% on a quarter-over-quarter basis to $14 billion. Additionally, net charge-offs declined 48% to $115 million compared to the previous quarter, reflecting further normalization of credit costs. As I mentioned earlier, one borrower relationship totaling $563 million became nonaccrual during the quarter, which accounted for almost all of the increase in nonaccruals. Excluding this nonaccrual, loans including held for sale would have declined modestly compared to last quarter. Finally, slide nineteen depicts our liquidity position as of quarter end. Overall, our liquidity remains strong, totaling $30 billion representing 231% of uninsured deposits. During the quarter, we used that cash position to pay down broker deposits, wholesale borrowings, and to purchase investment securities. In conclusion, we're executing on our turnaround and strategic plan to return Flagstar Financial, Inc. to profitability and make us one of the best performing regional banks in the country. I will now turn the call back to Joseph.
Joseph Otting: Thank you very much, Lee. And before we go to questions, I'd just reference for everybody's benefit slide twenty. You know, as we started this journey with all of you when we arrived virtually a year ago and started to talk about, like, the direction we wanted to take the company. There were some critical components that needed to be accomplished. We obviously needed to lower the cost, needed to get our arms around the credit risk within the company, we needed to build a C&I franchise that could originate loans and we could move the company forward on that journey. And I think where we sit today, we feel very confident on the turnaround of the company. And as Lee referenced, we do forecast and believe that our fourth quarter will be a profitable quarter for us, a turning point in the organization's history. On slide twenty, we give you a reference that compared to where the current stock price is trading and where we think it would be on a one-time small multiple that we do feel for our investors, there is a tremendous opportunity in owning the Flagstar Financial, Inc. stock going forward. So with that, operator, I will turn it back to you, and we can open it up for questions.
Operator: At this time, I would like to remind everyone that in order to ask any additional questions that you might have. Our first question comes from the line of Mark Fitzgibbon with Piper Sandler. Please go ahead.
Mark Fitzgibbon: Thank you, and happy Friday. I see your guidance, Joseph, on page ten of the slide deck, and as it relates to the NIM. I guess I'm curious to get to a 1.95 to 2.05, NIM for the year, it looks like a pretty big lift from the 1.74 we had this quarter. So I guess I'm curious, does that incorporate any rate cuts? If so, how many? And secondly, you know, are the four main drivers that you referenced? You know, what are the biggest pieces of that, you know, which really contributes the most to them? Benefit?
Lee Smith: Yeah. Thanks for the question. So when we put this latest forecast together, we were using the forward rate curve as of March. So there are two rate cuts in 2025 assumed in this. And as you think of the NIM improvement going forward, it is driven by the items that are noted. So you'll see our cash balances come down throughout the remainder of this year, and that's the result of us. We're gonna buy another $2 billion of securities between now and the end of the year. We're planning on reducing brokered CDs another $3 billion. And we will pay off another $1 billion of FHLB advances. As we've mentioned previously, we've got another $4 billion of multifamily loans reset in 2025. They have a coupon that is less than 3.8%. So as they reset, they're gonna move into coup if they stay, they're gonna move into coupons that are at least 7.5%. So we get an immediate NIM benefit there. And if they pay off a part, we will reinvest those proceeds in growing, as C&I portfolio. Which is based off the SOFR spread. So that is improving the NIM position as well. We're also gonna manage the cost of our and continue to manage the cost of our deposits lower like we have in the first quarter. We've managed interest-bearing deposits down 34 basis points versus Q4, and we're gonna continue to do that as we move throughout, not just 2025, but beyond as well. We've got $4.9 billion of retail CDs maturing in the second quarter. They've got a weighted average cost of 4.8%. And then as I mentioned, we're planning on reducing our non-accrual loans. And that will be additive to NIM as well.
Mark Fitzgibbon: Okay. And then secondly, just was curious on that one large relationship that went on non-accrual this quarter. Can you give us a sense what the LTVs on those loans look like and also how much you have in specific reserves on that relationship?
Lee Smith: Yeah. We're so here's what I would say. We're not gonna get into the specific around the relationship. But what I would tell you is when we looked at this, this loan had the ability to pay. The LTVs and all the other metrics were adequate. This was a borrower who decided that he wasn't going to pay. And that was a human behavioral choice, but he certainly had the ability to pay. A couple of other things that I would mention is you look at the specific impact of this on the quarter, between additional reserves and charge-offs. It cost us about $28 million. And then in terms of NIM reversal, it was about $5 million. So this particular borrower, it cost us about $33 million or $0.07 just in the quarter. And the other thing that I would add is we've obviously scrubbed the remaining portfolio. We have done a lot of screens and we believe that this was a very unique situation. This borrower looked to gain additional leverage by pledging his equity interest. And as we've done various other screens, don't see anything like this in the rest of the portfolio. So we do see it as being very idiosyncratic and unique.
Joseph Otting: Yeah. And the thing I would add, Mark, is, you know, I think we've communicated the journey through 2024 through the whole portfolio. You know, we continue to and in an instance like this, is we do do an assessment of our current reserves. And then when we move it to non-accrual, you do specific reserves against the loan. So what Lee was kind of referencing was that we've placed additional reserves against that loan. So we feel subject to getting appraisals, back in is that we're adequately reserved on that loan for any action that we would take.
Lee Smith: I think just one other thing that I would add outside of that loan. If you look at the credit trends, you know, charge-offs are down. The provision was down. And if you look at classified assets, as I mentioned in the prepared remarks, were down $900 million quarter over quarter as well.
Mark Fitzgibbon: Thank you.
Operator: Our next question will come from the line of Jared Shaw with Barclays. Please go ahead.
Jared Shaw: Good morning. Hi, Jared. I guess, when we look at the projected growth in commercial lending and then tie that with the guidance for provision, how should we be thinking about the ratio of allowance as we go forward? I mean, is this gonna be, you know, at this point, we're gonna continue to see reserve releasing and most of the provision is going to be for that growth in the commercial portfolios or, you know, whether there's still, you know, potential for reserves as some of those multifamily loans that hit that eighteen-month refi window.
Joseph Otting: Yeah. So couple questions there, Jared. First of all, you know, this quarter as you use the Moody data and you put it into your quantitative model, it did not reflect the reduction in interest rates. And so if interest rates, especially on the five-year curve, you know, were down any given day 40 to 60 basis points. And that I do think that that'll have some positive impact. When we do the quantitative analysis in the second quarter. And the reserve build would be the offset to that would be that as we add new C&I incrementally, that we're reserving, you know, against those loans as they get boarded.
Lee Smith: Yeah. And I'll just add. If you look at page seventeen of the deck, you will see the reserve or the coverage against the C&I loans did increase quarter over quarter. As a result of some of those new originations, but also the economic forecast that Joseph referenced that was coming out of Moody's. But as we think about the overall provision, I think, you know, it's looking at the entire book. So it's back what we're doing on the C&I side from a growth point of view. But it's also taking into account what we expect to happen from a CRE and multifamily point of view as well.
Joseph Otting: And just to remind you, Jared, we actually went through the entire portfolio in 2024 and virtually re-underwrote all the commercial real estate, including the multifamily, that it was mark to market, so to speak, from the standpoint of where we thought the underlying cash flow supported and the loan to value on the underlying assets.
Jared Shaw: Okay. Alright. Thanks. And if I could just ask a follow-up on capital, you know, with the capital CET1 being sort of above that target range and then all the positive steps that you've outlined with tailwinds on margin and tailwinds on credit. Are your updated thoughts on maybe deploying some of that capital into a buyback, you know, maybe around here with the valuation being so far below tangible book.
Joseph Otting: Yeah. And, you know, we think that as we start to stabilize and pay down the real estate, the offset to that will be deploying that capital into the C&I and private bank. And so I think our, you know, forecast at this point in time is to use that capital to expand the balance sheet. You know, one thing we did do, Jared, is we did combination of we stroke the balance sheet, you know, between $15 and $16 billion over the last twelve months. And we actually think we can turn it around and go back the other way now with the balance sheet and use that excess capital for growing the franchise? Thanks.
Operator: Our next question comes from the line of Ben Gerlinger with Citi. Please go ahead.
Ben Gerlinger: Hey. Good morning. So you guys referenced around a billion or so kind of aspirational run rate on C&I. I was kind of curious if you could dig into that a little bit. I know you made seventy-five plus. You're looking to do a doubling down in terms of hiring. So just kind of a loan size or segments or other pricing you said at market rate, but a billion is quite a bit more than I was expecting.
Lee Smith: Yeah. So the billion is consistent from an origination point of view. That's what we accomplished in the first quarter. We originated a billion of commitments from a C&I point of view, and we outlined that on page five. And this is coming from the sixty bankers that we recruited in the second half of 2024. We've recruited another fifteen to twenty just in the first quarter of this year, and we still intend to recruit another sixty to seventy throughout the remainder of this year. These bankers are very experienced. They come with a track record. They're coming from other big financial institutions. And they're typically originating their first loan within the first ninety days of arriving at Flagstar. And that's how, you know, we're seeing these numbers. From a strategic point of view, we're sort of focused in two areas. On a national basis, we're starting these specialty lending verticals. So you heard Joseph mention sports and entertainment, but also oil and gas, renewables, energy, health care are just some of the other national lending verticals that we've set up. But then, geographically, as it relates to our footprint, we're also hiring experienced bankers to better penetrate the middle market C&I areas within our footprint. So it's a twofold approach. There's the national approach, from a specialty lending point of view, and then there's a geographical approach leveraging our brand name in the geographies that we operate. And I mean, we're thrilled, obviously, with what we've accomplished in the first quarter. And we believe that we can maintain that and even grow it going forward. What I would tell you is we also believe Q2 will be the turning point. And what I mean by that is right now, even though we've been originating these new C&I loans, the C&I balances have been decreasing quarter over quarter as we've rightsized other legacy portfolios. Starting in the second quarter, you'll start to see overall C&I balances increasing. So we're sort of making that pivot and you'll see an increasing C&I loan balance Q2 and going forward.
Ben Gerlinger: Yeah. That's helpful. And then not to take away from the successes you guys have seen on the expense front because it seems like you've moved mountains quite a bit here. But when you think about the back half of this year, the remaining three quarters, I know you still have initiatives and plans. Is there anything to think about in terms of timing on additional cuts and or accruals for kind of the TNI success that we work against that? Or should we think about it linear to get to the range that you guys provided?
Lee Smith: Yeah. No. Here's what I would say on the cost reduction efforts, and it's just been a tremendous effort by the entire organization. We are mostly there and then some. And what I mean by that is I actually think right now that there's probably $25 to $30 million good guy from the bottom end of our range. We did not want to move our range this quarter. Obviously wanted to get another quarter under our belt. But the way things are trending on the expense side, I think we'll be what we're guiding to. In terms of things that are still in process, as we mentioned last quarter, there are some additional branch closures that will happen at the end of June. About twenty-three. There's some private client locations that we are merging and exiting in early July. And then there'll be some additional branch consolidation at the end of September. So, obviously, that's all factored into our numbers. But the vast majority of what we were looking to accomplish has been accomplished or is on the agenda to be accomplished.
Joseph Otting: And then the other thing that I would add, I think is really important, is, you know, these costs are in our net of, you know, we're investing $40 million in our risk governance infrastructure effectively adding 120 people over a twelve-month period. And then, you know, we have some pretty significant IT and operational initiatives to drive cost down. But at the same time, we're investing in our systems to finalize the combination of the entire bank now onto one platform. So those are things that are all kind of being laying the work and the foundation for that to get completed in 2025. So you know, you can't, you know, our probably total expenses is as Lee indicated, probably are somewhere around $700 to $750 million takeout. But we are making investments in the company in addition to taking those costs out. And I, you know, I but I would say, you know, we did get a lot of questions whether we were gonna be able to meet those numbers. And as Lee referenced, we feel really confident that not only are we gonna meet those numbers, but we can exceed those in 2025.
Ben Gerlinger: Gotcha. That's helpful. Thank you.
Operator: Our next question comes from the line of Manan Gosalia with Morgan Stanley. Please go ahead.
Manan Gosalia: Hi. Good morning. Lee, I just wanted to follow-up on your comments on C&I. How are you thinking about the utilization of those $1 billion in new commitments each quarter? How quickly do you expect to see balance sheet growth in C&I coming from those commitments?
Lee Smith: Yes. So if you look at the again, if you look at page five of the deck, so of the billion dollars $760 has been funded, which, you know, it indicates a pretty high utilization rate. Will it remain at that level? Yeah. Hopefully. But I think, you know, we're sort of looking at it on a more traditional basis where people will sort of leg into it a little more and it will ramp over time. But again, just sort of using Q1 as an example, we've sort of seen about 75, 76% of what was originated utilized.
Joseph Otting: Yeah. And our pricing model, you know, is pretty punitive. To put commitments out that aren't being utilized. So that also steers the team, you know, to look at transactions that meet high credit quality standards for that same time have high utilization rates. And, you know, one of the things, you know, that I would mention, you know, we feel really good about these growth numbers, but we also have less than 1% mark in kind of C&I. And so our ability to put these numbers forward, you know, we may go from 1% to 3% by the end of 2026. So it's not like we're gathering huge market share, but there's a lot of market available us to participate in.
Manan Gosalia: Got it. And then, Joseph, there are concerns about the economy slowing over the next twelve months. Recently done a review and re-underwritten the entire loan book, and the credit metrics continue to improve. Can you talk about how insulated Flagstar Financial, Inc. is from the concerns around tariffs and economic growth and do you think credit metrics can still improve from here?
Joseph Otting: Yeah. We did an analysis of the portfolio of the sectors that we thought would be impacted by tariffs. And those are the obvious ones, auto construction, consumer products. We have about $2.8 billion of commitments across the organization into that space. And so, you know, it's not a big number for us. And of that, there's $2.3 billion of loan outstandings. And just slightly over half of that is in the auto space. And so the auto space actually is having a pretty good quarter because people, you know, are kind of prebuying automobiles. So as we now get into the individual credits that make up that, you know, that $2.8 billion, we are not seeing, you know, obviously, it's gonna take time to see the impact of this. But the aggregate dollars are very minor for us, number one. And number two, they seem to be in areas that won't have significance. The other thing that I would reference in that regard, you know, as we are looking at new opportunities, obviously, one of the things that are being looked at hard in any new credit originations today is what is the tariff impact and what could it be to a particular company. And we have passed on a number of opportunities we thought, you know, like, where somebody was manufacturing in China or Vietnam or other countries that, you know, this could be problematic in the future. It may not be today. But we've passed on a number of opportunities where we thought, gee, this needs to kind of stabilize before we would enter the opportunity. So I think we're also in a unique position that we're not starting with a big portfolio of stuff that could be impacted. Then we can use that as part of our criteria in the credit underwriting.
Manan Gosalia: Great. Thank you.
Operator: Our next question comes from the line of Christopher Marinac with Janney. Please go ahead.
Christopher Marinac: Thanks. Good morning, Lee. Can you tell us about the warrant conversion and how that stands, and should we be should we be thinking of tangible book on a fully converted basis soon?
Lee Smith: Yeah. So the way we factor that into our forecast is we assume that it converts in Q4 of 2025. And so what that does is it does factor into the earnings per share that you've seen in the forecast. So that assumes that after Q4 2025, the warrants have been exercised. But we have not included it in the TBB per share number because it actually because they haven't been exercised, if you see what I mean. But for the purpose of the earnings per share number, because we hit profitability in Q4, we assume that they are exercised and they are included. The diluted impact is included in the EPS number.
Christopher Marinac: Got you. Is there any material change in the number of shares represented by the warrants with the figure we have on the case still be somewhat accurate?
Lee Smith: Yeah. I think so. The way they work obviously, there is a it depends where the stock is trading when they're exercised. As you know, there's a strike price and their net settle. And so, you know, the dilutive impact increases as the stock price increases. But overall, you know, they're not incredibly dilutive. And what we've laid out in the K, I think, you know, it gets you what you need from an information point of view.
Christopher Marinac: Perfect. Thank you for that. And just a quick credit question from the high level. When you look at overall frequency and severity in the book, whether it's multifamily or other parts of CRE, are those numbers kind of the same as you thought a quarter or two ago, or do you see those perhaps trending in a different direction somewhat better?
Joseph Otting: Well, couple comments that I would add is we're right in the season where we will be getting the updated financials from the borrowers. And, you know, last year, we were in the mid-90% of borrowers who provide this updated financial, which was up substantially from the legacy bank. So we'll have a, like, a really good look into how 2024 was here in the next sixty days. And clearly be able to talk about that in the second quarter. But for the most part, you know, what we're seeing in the market and we see through our appraisals is we've seen stabilization, both in the multifamily and in the office, while office is really, you know, a relatively immaterial number to us. If you think back 2024, that's really where a bunch of the big hits came as we moved out of, you know, some problem office credits that we had. So I, you know, I think what I would say is right now is for the most part, if you think about what Lee commented on, the movement in the special mention in the substandard down substantially and then our charge-offs being down, I think it would lead you to indicate that we just don't have a lot of flow now into those categories from the portfolio. And I think that's a result of, you know, when we were doing forward-looking in the portfolio through 2024 that we were catching everything that was gonna mature or price reset fifteen months out. Gave us a pretty long runway to be able to look at our credit exposure. And each quarter, we pick up another quarter in that kind of analysis. So and we just haven't seen really the deterioration at this point from new appraisals and new credits falling into that bucket. So and we do, you know, overall, we do forecast, you know, continue to forecast that our NPAs will be down by year-end. And we continue to see, you know, reductions in our special mention and substandard.
Lee Smith: Yeah. I would just, you know, sort of echo and reiterate a couple of things Joseph mentioned. I mean, the charge-offs coming down up to $115 million from $222 last quarter, I think, is a very positive sign. The appraisals are coming in better than we were, I say we're expecting, certainly better than the shock analysis that we have when we don't have appraisals. Of the $800 plus million of payoffs in the first quarter, 59% would we have them rated substandard. I think that is another good sign. And then when you look at that reduction in classified assets, from $14.9 billion to $14 billion, as well as those payoffs, we did have $600 million of upgrades and I think that's important to note as well. So as we get new information as credits continue to pay, we get appraisals. We're seeing upgrades as well. So those are obviously all good indicators.
Joseph Otting: And we not only looked at, you know, the credit the debt service coverage, but we also factored in that analysis. Market rate interest rates. So if they were at 3.8, we reset them at 7 or 7.5 and underwrote and those credits.
Christopher Marinac: Great. Thank you both very much. It's very helpful.
Joseph Otting: Okay. You're welcome.
Operator: Our next question comes from the line of Chris McGratty with KBW. Please go ahead.
Chris McGratty: Oh, great. Good morning. Joseph or Lee, the non-accrual comment, I think on the January call, you said by the end of the year down 30%. Obviously, that I'm sure I didn't contemplate this quarter's move, but any degree of resolution magnitude from these levels? And secondarily, the collateral on the non-accruals, was that the building? I assume that's the building itself, but just a little clarity there. Thanks.
Joseph Otting: Yeah. Yeah. Chris, we, you know, Wiener was not factored into those numbers, but we still are, you know, currently forecasting to go from, like, the $3.3 billion to around $2.7 billion by year-end. So we do see that those numbers will continue to decline. And then your question on the collateral was that regarding the borrower that went non-accrual during the quarter?
Chris McGratty: That's right. Yep.
Joseph Otting: And those were fully collateralized, predominantly by multifamily properties.
Chris McGratty: Okay. And then my follow-up, if I'm looking at slide nine, the appreciate your comments on basically gonna overachieve the cost saves near term. But if I look at the kind of the medium-term cadence of the expenses, there's still a pretty good lift down by 2027 and a pretty big ramp up in call it, fees. Can you just give me a little bit more color on what's that next level of growth and next level of step down cost? Thanks.
Lee Smith: Yeah. So there were let me start with the on the cost side. There were actions that we've executed on that are behind us now in the first quarter that you're not seeing the full benefit of? In the first quarter. You'll start to see the full benefit of those actions in, you know, Q2, 3, 4. So you've kinda got that phenomenon, particularly around compensation and benefits. I think you're gonna continue to see the FDIC expense come down as we further deleverage the balance sheet. And so you saw another reduction in Q1 versus Q4 as the impact of what we did in Q4. You got the full quarterly impact in Q1. And you're gonna continue to see that as we move forward here as well. I mentioned that there are various real estate locations so bank branches and PCG locations, that we will be combining and exiting in the second quarter and early in Q3 and then some additional branches that we're combining at the end of Q3. And then we've also been working on outsourcing/offshoring sort of certain back-office processes and functions. And, again, some of those actions we executed on recently. And so you're not seeing the full benefit of those cost reductions in the Q1 actual run rate. And so that will start to come through as we move through the year. So that's why we feel pretty good about what we've accomplished today from a cost reduction point of view. And why we feel good about where 2025 is gonna come out from an overall NIE point of view. And then on the fees, Joseph mentioned, we've just launched the subscription lending product. And we feel that there's a lot of pent-up demand for that. That's gonna help us from a fee point of view. We're beginning to sort of see opportunities where we're leading deals. We had one recently where we would lead left to a top-tier sponsor and it was a combined revolving credit facility term loan delayed draw term loan, and we got an upfront fee structuring for the an admin agent fee. And I think there's gonna be more of those opportunities. We've continued to build out our treasury management team, and that's pretty much complete now. And we feel pretty good about where they are. And so all of those are driving the increase in the fee income that we adjusted for in 2025.
Chris McGratty: That's very helpful. Thanks a lot, Lee.
Operator: Our next question comes from the line of Ebrahim Poonawala with Bank of America. Please go ahead.
Ebrahim Poonawala: Good morning. How are you, sir? I just wanted to follow-up on margin because I looked at the average of the asset this quarter. And we expect this margin to go next year at 2.5. That kind of gets you to the NII that you're projecting for next year. So correct me if I'm wrong. It feels like the balance it still has some shrinkage to go to give that. And the asset's still declining.
Joseph Otting: Having a tough time hearing you. You're kind of cutting in and out. I apologize. So I think you're asking about the margin going forward. Is that the question you asked? And the balance I think you mentioned the balance sheet size as well, Ebrahim.
Ebrahim Poonawala: So sorry about that. I'm not sure if it's any better now. But
Lee Smith: It's a little better.
Ebrahim Poonawala: Yeah. So I'm just thinking this. So
Joseph Otting: We've lost you again. Yeah. Hey, Ebrahim. Do you wanna try to come back in and see if that improves it? Because we can't understand the question.
Operator: Our next question will come from the line of Casey Haire with Autonomous. Please go ahead.
Casey Haire: Thanks. Good morning, guys. Can you hear me? Yeah. Hear you fine.
Joseph Otting: Alright. Great. So I'll ask Ebrahim's balance sheet question. So I that's what he's getting at. But I think you outlined about between multifamily runoff and then paid out of borrowings and brokers about eight billion of asset headwind. Obviously, C&I is doing well. And you have the ability to build the bond book. Just wondering where does the balance sheet end this year? When does it start net growing?
Lee Smith: Yeah. Yeah. Got it. Good question. And I'm glad you asked it. So we end the year at around $96 billion. So the balance sheet this is total assets. With the balance sheet will be about $96 billion. At the end of the year. And then just to I'll give you the numbers. At the end of 2026, we expect it to be around $102 billion. And then at the end of 2027, we expect it to be around $111 billion. So that's how I would model it. But we end 2025 at $96 billion.
Casey Haire: Understood. Great. Thank you. And then slide five, I wanted to ask about the C&I originations. I hear you that I think you said, you know, you wanna get to over a billion and you're certainly on your way there. I'm wondering when you guys are fully staffed and you hire these eighty or so bankers by the end of this year, what do you like, fast forward a year, what is the C&I growth when you got the full kind of team on the court?
Joseph Otting: Yeah. So one clarification is we expect to get the loan outstandings up to a billion dollars a quarter going forward. And then that continues to accelerate. But Lee has the exact numbers kind of you wanna share those.
Lee Smith: Yeah. Sure. So that's exactly right. With the growth, as we think about that billion dollars, it's really that's outstanding. Rather than commitments. And I think we feel that, you know, by the time we are fully staffed, we're doing about a billion and a half a quarter in outstandings. And just so everybody's aware, when we talk about hiring these bankers, they're not all account managers. We're bringing in credit specialists. We're bringing in underwriters. So that, you know, you're bringing in the entire team. And so that's also embedded in that number of seventy to eighty. Of hires between now and the end of the year. But ultimately, we're looking to get to a billion and a half of outstandings on a quarterly basis.
Casey Haire: Thank you.
Operator: Our next question comes from the line of Bernard Von Gizycki with Deutsche Bank. Please go ahead.
Bernard Von Gizycki: Hey, guys. Good morning. Just one Joseph, you know, in a recent filing, you know, that you'd be staying on till March 2027. And I think at a recent media article, it noted that after the three years, you'll be looking to move to Chamerill. So five years collectively, could you just confirm if accurate and how does that fit within the time frame of transforming the business?
Joseph Otting: You know, really, this comes down to being a board decision. Know what I mean? Ultimately, you know, I clearly, you know, I'm committed to the company for a five-year term, you know, in capacity. But I think from a succession planning, as the board starts to look at that, you know, I think the guidance is that, you know, in 2027, we'd be looking to transition the CEO role to another person. And then I would stick around for a period of time if the board wants me to after that to help lead and manage the company as well.
Bernard Von Gizycki: Okay. Got it. And then maybe just as a follow-up, Lee, with the balance sheet growth numbers you gave, obviously, you're also deploying some of that excess liquidity into securities. Just any thoughts on how you're thinking about growing the securities book from here, and any thoughts on the growth that you kind of gave out? How much of that is, like, I guess, loans? I'm assuming in the forty years, it's more. Maybe in the recent short term, it's a little bit more. And security. So could you maybe just help give a little bit of color on that?
Lee Smith: Yeah. That's exactly right. So like I mentioned in my prepared remarks, we're looking to buy another $2 billion of securities in 2025. So that's kind of where we're gonna deploy or one of the areas that we're going to deploy the cash. I think as you move into 2026 and 2027, it'll be all about loan growth and particularly C&I growth. So that's the pivot you'll see in 2026 and 2027. But in 2025 and the remainder of this year, yeah, we're certainly looking to buy at least another $2 billion of securities with the excess cash.
Bernard Von Gizycki: Okay. Great. Thanks for taking my questions.
Joseph Otting: You're welcome.
Operator: Our next question comes from the line of Matthew Breese with Stephens. Please go ahead.
Matthew Breese: Hey, good morning. Good morning. I was hoping we could first touch on, you know, C&I but a different way. You'd mentioned in the release in your prepared remarks that there are some portions of the C&I book that are considered non-core. Could you just outline for us how much the C&I book is non-core, what those areas are, and then remind us over the next couple of years where you want the CRE multifamily books to be as a proportion of total loans.
Joseph Otting: Yeah. So if you go to page six, clearly, the first category is specialized industry and corporate banking. Is where we see really the significant growth. And then the specialty finance, what we've really done in that space is our comfort level for single relationships is very similar to what we discovered a little bit into the CRE and multifamily. The hold levels, you know, at the legacy NYCB, were significantly larger than what our comfort level is, usually in a risk-graded five credit, which is kind of down the middle, you know, from a credit quality. It is $75 million hold. And for a credit that's this slightly at or below investment grade, we're at $100 million. What was a lot in those portfolios, and it was a strategy of the company was, in a lot of instances, they were in the $150 to $250 range of commitment. And so we've narrowed and brought back our commitments in those credits down to what are a comfort zone for us. So actually in the specialty finance, it was down roughly $180 million. We actually see that growing from that point forward. So I wouldn't say that was non-core. And then the similar story if you go from the second line from the bottom, the MSR and ABO lending, is a very similar story. We had very large hold levels and we're reducing our exposures at the individual relationship level. But we did have one payoff in that space of a large relationship, but the rest we do think we'll have stabilization kind of going forward in that regard. And then the two other the middle of Flagstar Financial Leasing and Flagstar Public Finance funding, those were really five or six businesses in that space. We've kind of stopped non-relationship activities there where we were just buying paper but had no relationships with the borrowers. So we do also see those going positive in the second and the third quarter. So I wouldn't call them non-core. As I would say we were reducing what we thought was the risk appetite by home levels.
Matthew Breese: Great. Okay. Very helpful. And then my last one is just a little bit of a different question, but there's been a recent discussion across the banking industry around catering to the crypto industry and stable coin, and it seems there's a much warmer welcome to the banks to participate. In this industry again. New York community once had its toe dipped in these waters, and I'm curious if you have any appetite to, you know, pursue that again and pursue deposit growth via those verticals?
Joseph Otting: Yeah. I don't see us, you know, forming a specialty group or, you know, going after that aggressively, that particular space. I mean, clearly, there are some companies that I would put under the general corporate banking that, you know, we would consider if given the opportunity. But I don't see that being a part of the specialty businesses within the company.
Matthew Breese: I'll leave it there. Thank you.
Joseph Otting: Okay. Thank you very much.
Operator: Our next question comes from the line of Anthony Elian with JPMorgan. Please go ahead.
Anthony Elian: Hi, everyone. Can you hear me okay? Yeah. I can hear you fine. Good morning, Anthony. Joseph, morning. Joseph, I know you said you're starting to receive updated financials from borrowers, for 2024, but can you share with us any early reads you And I guess what I'm really trying to get at is specifically for the $19 billion so loans you have in rent regulated in New York. Are you seeing improvements or deterioration of NOI?
Joseph Otting: Well, you know, it's a little early to tell on that question because we haven't received the 2024 financials yet. But, you know, 2023 was really a rough period in the RIPP regulated because, you know, the increases were, you know, restricted occupancy is very high in those buildings, generally in the 98, 99%. So it's like it's not like you're gonna fill up a bunch of extra space and generate cash flow. And, really, where they got, you know, impacted was on the expense side. You know? In most instances, insurance went up 30 to 40%. You know, HVAC and maintenance and things like that were up 40% and labor was up 30%. So I think I'm hopeful that stabilization on the expense side over the last twelve months will be positive in the NOIs in that particular space. So we do see investors reentering in demand for buying loans for us. In that space. So I think that's an indication that investors, you know, are starting to feel more positive about the rent regulated now. And there's been some, you know, large projects that have gotten tax abatement. You know, the legislation doesn't without, you know, more change in the direction, I don't think we're gonna see to be able to legislative changes. But you have seen tools that are being used make those projects more economic by, you know, providing tax abatement within an agreement that owners and investors will dedicate a certain amount back into the projects from a CapEx perspective.
Anthony Elian: Thank you. And then for Lee, on slide seventeen that walks through the allowance by loan portfolio, what was the driver of increasing the reserves tied to C&I office owner-occupied? Looks like it went up by about thirty-one or forty basis points sequentially. Thank you.
Lee Smith: Yep. Yep. It was two things. It was the economic forecast as we mentioned and it was also just some individual credits and specific credit or increases around specific credit. So those were the two drivers of that increase in the C&I non-specialty finance line item.
Anthony Elian: Thank you.
Joseph Otting: Okay. Thank you very much.
Operator: Our next question comes from the line of Steve Moss with Raymond James. Please go ahead.
Steve Moss: Good morning.
Joseph Otting: Thanks, Steve.
Steve Moss: Maybe just on the C&I side, Joseph, just kind of curious here. What kind of spreads you're getting on the new C&I loans you're originating here? And if there's any deposits coming over with those relationships.
Joseph Otting: Yeah. The spreads are ranging from, like, 225 to 275. Over SOFR. So the spreads have held up pretty well. In the C&I space and even in light of a lot of competition. We are getting deposits, but And then what you generally see in those relationships but most of that transitions in over a period of time. But where we have seen significant opportune results is really on the fee side. Where Lee mentioned now starting to get senior leadership roles in some of these credits because the people who join us have those roles at their prior institutions. But, you know, we'll very few opportunities are we willing to do where it's a credit-only relationship. And most of those, we either are offering, you know, 401k or treasury management or interest rate derivative products. Have a broker-dealer, so we can get bond economics. So our pricing model does not work very effectively. Or where we're not getting noninterest income or deposits. From a yield perspective. And so now, you know, we're using a new pricing model in the company that will really drive people to have to get, you know, those sales in addition to the credit sales on the front end.
Steve Moss: Okay. Great. That's really helpful. And then in terms of just the funding side of the equation, just curious how you guys are thinking about the step down here over the course of the year in funding costs. You know, I see your CD rates are generally marketed around the Fed funds rate. And you have some other promotional products at a similar pace. Kind of, like, wondering, you know, at what point you think maybe we could feel a bit of separation between the rates you're offered and Fed funds as the year goes on.
Lee Smith: Yeah. So the it's just one CD rate, the six-month CD. We saw an opportunity to bring in incremental deposits. So that was kind of the one area that we sort of had the promo rate out on. We have not sort of touched the one year, two year, or three months. As I mentioned in the prepared remarks, we have $4.9 billion of CDs maturing in the second quarter at a weighted average cost of 4.8%, we're gonna get a natural reduction there as those mature. Typically, as CDs are maturing, we're retaining about 75, 80% of them. And then we're making up the difference with new CDs coming in. And then we've been actively managing our other interest-bearing accounts, whether those be savings, interest-bearing DDAs, money market. Again, I mentioned in the prepared remarks, quarter over quarter, interest-bearing deposit costs were down 34 basis points. So it's something that we have meetings weekly on this. And we are looking at it and strategizing all the time. But we feel good about hitting the targets that we have in our forecast.
Steve Moss: Okay. Great. And one last one for me just in terms of the multifamily and commercial real estate books. Just curious, you know, it kind of seems like there's gonna be some stabilization maybe here late this year based on the asset size of the bank. You guys are projecting? Kind of curious if that's a fair assumption or should we expect further runoff in those books throughout 2026?
Lee Smith: Yeah. I think you should expect further runoff because as we said before, we're trying to create a diversified balance sheet, a third, a third, a third. And it probably we probably won't quite get to a third in consumer, but, you know, third C&I, third CRE, and a third consumer. And so, you know, what that means is we really wanna try and get that CRE book, which includes multifamily, to, you know, $35 billion, $30, $35 billion. And so you will continue to see runoff throughout the three-year period as it relates to multifamily.
Joseph Otting: And just as a reminder, you know, we've been running $800 to a billion dollars at Lee referenced through Payoff. And, you know, basically, we're telling borrowers where we have loan-only relationships specifically that our desire on a maturing credit is that they would take that credit to another financial institution. And, you know, fortunately for us, you know, roughly half of those are substandard credit. And so we've continued to see that trend line.
Steve Moss: Okay. Great. Thank you very much. I appreciate all the color.
Joseph Otting: Thanks. You're welcome.
Operator: Our next question comes from the line of Jon Arfstrom with RBC. Please go ahead.
Jon Arfstrom: Thanks. Good morning. Hi, Jon. Hey. Lee, on slide thirteen, just kind of a follow-up. What do you think that mix looks like in a year? And maybe when you get to your 2027 goals, because the deposit mix.
Lee Smith: Yeah. Right. So I think you we're obviously gonna continue to pay down broker deposits. So you will see a reduction more reduction in broker deposits. And I think you'll see us increase our retail and private bank deposits, and that's kind of how we're thinking about it. We're looking to build core deposits and further reduce the wholesale borrowing and reliance on broker deposits and FHLB advances. So I think that's what you can expect. And on the deposit side, you know, Joseph just made this point. As we leg into these new C&I relationships, that's another opportunity for us to bring in core deposits as well and build that deep relationship with those C&I customers.
Joseph Otting: Yeah. The broker deposits now are down two point, you know, even further in the month of April. We're down, I think, $2.2 billion year to date. So that's really a big opportunity for us, you know, to, you know, use our excess liquidity to pay that now.
Lee Smith: And it helps us from an FDIC expense point of view.
Jon Arfstrom: Yep. Okay. Joseph, one for you. Kind of a call it a due diligence or check the box question. But what are you guys working on now in terms of the non-client facing activities? Do you feel like things are fully buttoned up from a risk and regulatory point of view or are there other, you know, hurdles or objectives you need to meet?
Joseph Otting: You know, we've come a long way in the company. You know, from the time we got here, you know, the company was a, you know, or is a category four bank, and neither of the legacy banks had risk governance and infrastructure along those lines to be a bank of that size. I couldn't be more pleased in the direction and the rails that we now have built. And I think from now, you know, to the end of really 2025 and into 2026 is we're gonna feel very comfortable that ourselves and our regulators are gonna feel good about, you know, the risk governance structure that we have kind of put in place. And I think, you know, the technology side is gonna be very helpful. We're investing in really creating a platform. You know, today, we're sitting here with six, you know, data centers that were never consolidated in, you know, all those actions that are kind of pin up, we're gonna get done here in 2025. In addition to, you know, we're investing in an organization-wide, optimize, implementing a new gliva, you know, platform. And so all of that gets done this year, and it's really stuff that should have been done in 2023. And then as we got our arms around them in 2024, so I think the company really is coming a long way in that regard. And I couldn't be more happy the team, you know, what we've been able to put together here as far as a team of really highly qualified people to execute on those.
Jon Arfstrom: Okay. Thank you very much. Appreciate it.
Joseph Otting: Welcome.
Operator: Our next question comes from the line of Nick Holoco with UBS. Please go ahead.
Nick Holoco: Hi. Good morning.
Joseph Otting: Morning.
Nick Holoco: Maybe just first question for Lee. You know, I know you and a follow-up on deposits. I know you gave a lot of color on the broker deposit mix and the CD maturities. But maybe you could just touch on the NIB trend that you had in the quarter and how you're thinking about that over the near term. And if by chance you have it, potentially, the spot rate on the bearing deposits or the net interest margin at the end of the quarter?
Lee Smith: Yeah. So I don't have the spot rate, but what it would tell you in terms of the trends were the we saw we were down about $300 million in the private bank. That was sort of seasonal in nature. But that was offset by increases in our retail deposits or consumer bank. They were up about $350, $400 million. And then we had a slight increase in our commercial deposits. They were up about $150, $200 million. So by and large, they sort of netted each other off. The other part that netted itself out was we had the last loans transfer as a result of the mortgage sale that we executed on in Q4 of 2024. So there were about a billion dollars of mortgage escrows that left. But we subsequently got an increase in what we call our SMBs area, which is predominantly mortgage escrows of a similar amount. And that was just a buildup of T&I and other escrows that pretty much offsets itself as well. And so the biggest driver of the change quarter over quarter was the pay down of those broker deposits of $1.9 billion.
Nick Holoco: Got it. Thank you. And then maybe just one follow-up on the single borrower non-accrual in the quarter. You know, I know you gave color on, like, the average loan size in your multifamily book around $8.5 million on average. If I was to look at, like, the loan book on like, a per borrower basis rather than a per loan, how materially different would that be? And do you have a substantial number of borrowers with similarly large exposures above the $500 million range? Thank you.
Lee Smith: Yeah. We probably, you know, got somewhere between a dozen to twenty or so large relationships that are similar to this one particular borrower. And as I mentioned earlier, we've screened and scrubbed all of those looking for anything that might be similar to this one particular borrower. And we're not seeing it. And as I say, you know, one of the biggest factors was the additional leverage this borrower looked to achieve by pledging his equity interest. So, you know, again, we see this as a very sort of unique idiosyncratic situation.
Joseph Otting: Yeah. And we're not referencing twelve to twenty-four hours over $500 million in size. Correct. Yeah. So but I would also say, you know, these are, like, huge loans to one piece of property. These are ninety loans that represent $500 million, so you can run the math on those. But so there are a lot of different properties with individual loans.
Nick Holoco: Understood. Thank you for that.
Operator: And I will now turn the call back over to Joseph Otting for any closing remarks.
Joseph Otting: Okay. Thank you very much. Very much appreciate your interest in the company. We couldn't be more pleased with the journey we're on. We think we've made incredible progress over the last twelve months. Think there'll be a significant amount of progress in 2025. We're gonna look like a completely different company when we end the year. As Lee indicated, you know, all indications in our forecast and analysis is that we will return to profitability in the fourth quarter. We feel our risk elements of the company are under control. And we're really excited about what we can grow and develop over the next couple of years as we move forward. I want to thank all of you for joining the call today and your continued support of Flagstar Financial, Inc. Thank you very much.